Operator: Welcome to the fourth quarter investor call. My name is Adrienne, and I'll be your operator for today's call. [Operator Instructions] Please note, this conference is being recorded. [Operator Instructions] I'll now turn the call over to Ms. Draper. Ms. Draper, you may begin.
Milton Gray Draper: Thank you, operator, and welcome, everyone. I would now like to read the statements about use of forward-looking statements and non-GAAP financial measures during this call. Statements made in the course of this call that state the company's or management's hopes, beliefs, expectations or predictions of the future are forward-looking statements. Actual results may differ materially from those projections. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in our SEC filings, including our Form 10-K, our 10-Qs and our press releases. We undertake no obligation to update these forward-looking statements. We are holding this call to review our fourth quarter results and to answer any questions you might have. If you have an additional follow-up question after the call, please call me at (650) 589-9445. Joining me today is the Chief Executive Officer of Core-Mark, Thomas Perkins; and Chief Financial Officer, Stacy Loretz-Congdon. Also in the room is Chris Miller, our Chief Accounting Officer; and Greg Antholzner, our Vice President of Finance and Treasurer. Our line up for the call today is as follows: Tom will discuss the state of our business and our strategy going forward; followed by Stacy, who will review the financial results for the fourth quarter; we will then open up the call for your questions. Now I would like to turn the call over to our CEO, Tom Perkins.
Thomas B. Perkins: Good morning, everyone. I would like to go over the state of our business and briefly review the results of the fourth quarter and the year and to discuss our core strategies. 2013 was a very good year for Core-Mark. We were focused on our core objectives: Gaining market share, making our independent retailers more relevant and profitable and growing our earnings. Our focus has been and continues to be increasing sales in the critically important non-cigarette categories. We believe these categories are vital to the success of our customers and necessary to improve their relevancy to the consumer. We are a service-oriented organization with a history of finding creative solutions for our customers and the industry. Our 4 strategies: VCI, Fresh, FMI and acquisitions, are the driver of our sales growth and profit improvement. We have taken costs out of the supply chain with our Vendor Consolidation Initiative and have added Fresh products to our customer stores. Focused Marketing Initiative has helped us to partner with our customers in providing category management expertise, and we have and plan to continue to expand our footprint and our market share through acquisitions. We have had a very good year executing our core strategies, and we plan to improve upon them in 2014. It is clear to me these strategies are resonating with our customers, and we plan to further refine and expand these creative solutions for the markets we serve. With our approach, we have taken additional market share as we continue to create momentum in the industry. Since our last call, we have won the bids of 4 new small chains, which represent approximately $65 million in annualized revenues. In addition, we are planning the expansion of our initial rollout to the large alternative retailer we mentioned on the last call. These new wins will help jump start 2014, which I feel very optimistic about. As we gain market share, some short-term investment spend is necessary to ramp up and integrate new business. For most of 2013, we were in the process of on-boarding new, large customers or integrating the new division. These are certainly high-quality problems, but they can take a little time to optimize the divisions that are trying to quickly digest these large changes to their business or to integrate without major disruptions. Once we have fully absorbed the new business, we are able to improve the efficiencies and leverage the cost. In summary, business is good. We continue to outpace the growth of a pretty healthy industry, and we constantly strive for innovation and how we go to market. We are very pleased with our strong sales growth in the fourth quarter, which was the highest growth rate we have seen all year. This reflects the continued momentum in sales we have built with the addition of Rutter's, Esso and Turkey Hill. Sales for the quarter increased nearly 14%, while non-cigarette sales increased 18%. In addition, same-store sales -- non-cigarette sales also saw the highest growth rate of the year. These are all very encouraging indications we are doing the right things. I was also very pleased to see the remaining gross profit for non-cigarettes grow up more than 20% and see the margins on those products improve by 27 basis points. The one dark spot in the quarter was cigarette carton sales. Same-store cartons declined 4.3%, which was steeper than normal and steeper than we expected. We believe this is due to the price increase that came earlier in December this year than in 2012, dampening sales during the rest of the month as consumers adjusted to the increased prices. First quarter carton sales last year experienced softness, which may occur this year, especially in the light of severe weather. However, we expect same-store cartons to rebound to more normal levels as we move towards the summer season. Operating expenses as a percent of sales were leveraged slightly in the fourth quarter, but I continue to monitor the cube data and operating expenses as a percentage of gross profits. In the fourth quarter, cubes increased 13.3%, while cost per cube decreased slightly. So this confirms we leveraged these costs. In addition, operating expenses as a percent of gross profit decreased 325 basis points. This reassures me selling in the higher-margin products is paying off even after considering the higher-handling costs. Would I like to see additional leverage? Absolutely. The bottom line is our adjusted EBITDA in the fourth quarter increased 22.3% year-over-year to $31.3 million. I'm also very pleased with the sales growth for the full year in 2013 of about 10% and non-cigarette sales growth of nearly 14%. I'm particularly pleased with the growth rate of our non-cigarette items, as these have higher margins that are the focus of nearly all of our strategic initiatives. These initiatives are designed to make the retailer more relevant, so their success is indicative of longer-term value-creation. Same-store sales for the non-cigarette items were also encouraging as they increased in each subsequent quarter throughout the year. This statistic is one we believe reflects the health not of just our business, but of the industry as a whole. In addition, our non-cigarette remaining gross profits grew over 15%, and gross profit margins increased by 16 basis points. These metrics reflect the direction we are taking the company and confirm, for me, we are going in the right direction. We had some expenses in 2013 representing investments in our future, including $2.8 million of business expansion, startup and conversion costs. We continue to monitor very carefully our operating expenses as a percent to remaining gross profit and to analyze our cubic feet data to make sure we leverage our cost over time. Our cubic feet shipped for the year grew almost 8%, while our cost per cube decreased about 1%. In addition, our OpEx as a percent of our gross profit decreased 80 basis points. Bottom line is our EBITDA for the year was $109.5 million or $112.3 million, excluding the $2.8 million of investment spend. This is about a 10% increase over 2012. On our previous investor call, I believe we would reach the $112 million in EBITDA with no adjustments. We came in slightly below this, unfortunately, for a whole host of reasons, but the primary drivers were sales coming in $60 million lighter than I expected for the month of November and December, driven by the larger-than-expected decline in cartons and higher workers' compensation and vehicle accidents claims for the year. We had a good year, but not the kind of year we had hoped for. Due to this EBITDA miss, we will not be awarding any performance shares for the management group. This may seem a little harsh given we just posted record earnings, but it is important to us as an organization to perform to the levels we tell you we are going to perform. Enough said. For 2014, we expect revenues to approach $10.7 billion and EBITDA to grow in the range of $116 million to $120 million. There are no acquisitions or large account wins in our guidance numbers. At first glance, it may appear we are being ultra-conservative on the low end and more modest in our expectations on the high end. However, there are several factors to consider as we move into 2014. As we grow, infrastructure will be a prime focus. Measured investments in our people, as well as our facilities and technology are reflected in our guidance estimates. And sales reflect continued pressure on carton sales, but double-digit growth in our non-cigarette categories, which have lower price points. We are focused on quality of sales and position ourselves for the future, while also focusing the organization on achieving and striving to exceed our guidance in 2014. So with that, let's move on to our strategic results. As most of you know by now, one of our core strategies is to grow our business through acquisitions. The acquisition of Davenport last December has been fully integrated, and we are very pleased with their progress. We expect great things from this division. We believe our approach to the C-store market is the right approach, and we want to continue to expand our footprint to reach more of the C-store customers. The industry remains very fragmented, with about 300 distributors in our space, so I expect this core strategy will continue for years to come. We are having conversations with a number of potential targets, and I am confident we will have acquisitions in the future. The other 3 core strategies, VCI, Fresh and FMI, delivered stellar results in 2013. We can see these programs are resonating in the marketplace, and I believe they are critical to gaining market share, improving our customers' profits and refining the consumer C-store experience. Our VCI and Fresh incremental sales exceeded $111 million in 2013, the highest level in our history. The addition of Hostess products certainly helped our VCI sales, especially once our fulfillment levels normalize. We also saw some nice growth in our fresh bakery items, as well as fresh foods, meat, dairy and wine. We are again targeting another $100 million in incremental sales for these programs in 2014. Our FMI program also outperformed our goals for 2013. About 3,300 stores were surveyed in 2013, and these stores continue to purchase approximately 3x the amount of incremental store -- incremental non-cigarette items compared to our non-surveyed independent stores. In addition, we continue to see significantly lower store churn rates for FMI independent stores compared to our non-surveyed independent stores. We think this is the real indicator of our success of making these independent retailers more relevant. We continue to see stores accept about 60% of our recommendations, which provide stores with incremental profit of about $25,000. In our quest to further strengthen our retailers, we expanded the scope of our FMI team to harness the power of big data, focused on customer analytics. With this new functionality, we have remained -- renamed this group to better reflect what they do. They are now called the Core Solutions Group. They will still do the data cruncher we need for the FMI program, but they have now developed a tool that filters the customers' data in an easy-to-understand interface. We call this tool our Core Data Interface. We believe this tool will enable our sales force to make the very best recommendations to our independent retailers. In addition, this analytical tool provides our divisions and sales territory managers detailed information about current account penetrations and sales opportunities. We expect having easy and clear access to such critical information will help the sales group sell more thoughtfully and therefore, more successfully. One additional focus of the Core Solutions Group is to support our Customer Relations Management, CRM, database, which was launched during the fall of last year. We expect our CRM solution to increase the effectiveness of our sales force. We have completed initial rollout and expect this to be fully functional by mid-2014. This group's accomplishments are indicative of the constant innovation we believe makes us the best-in-class distributor in the C-store space and provides us a competitive advantage. It is also reflective of our culture as an organization where we constantly strive for excellence in all that we do. In summary, 2013 was a good year, and I believe we will continue to improve in 2014. We are all committed to leveraging the sales momentum we have built, to expand on it and take market share with our superior competitive advantages. I need to make sure I provide the tools and the people the organization needs to accomplish our goals. I believe our core strategies are working and are a key contributor to our improved financial performance. With that, I will now turn things over to our CFO, Stacy Loretz-Congdon. Stacy?
Stacy Loretz-Congdon: Thanks, Tom, and good morning, everyone. I'd like to start my comments with a brief discussion of our earnings per share. Diluted EPS for the fourth quarter was $1.29 compared to $0.83 last year. Or for those of you who model EPS, excluding LIFO expense, this translates to $1.28 for the quarter compared to $0.90 last year, a 42% improvement. Normalized for unusual and one-time items, LIFO EPS for the quarter was up 32%, driven primarily by the growth in our non-cigarette sales and related margin improvement. For the year, diluted EPS grew 23% to $3.58 compared to $2.91 for 2012. We had guided to a range of $3.35 to $3.45 and beat that expectation due to our LIFO expense coming in lower than expected. As a reminder, our LIFO expense is tied to the Producer Price Index and reflects inflation, or lack thereof, in the various product categories we carry. Excluding LIFO expense, we earned $4.04 this year compared to $3.55 last year, a 13.8% increase. We are pleased to see this fall in between our guidance of $4 to $4.10. Free cash flow per diluted share was $4.52 compared to $4.27 for 2012. Our year-end inventory buildup was approximately $7 million higher than the end of 2012, which roughly translates to about $0.60 of free cash flow per share. More on free cash flow later. For 2014, we are guiding to an EPS range between $3.50 and $3.65, which includes an estimate of $13 million of LIFO expense, $7 million of cigarette price increase, a 39% tax rate and 11.7 million diluted shares outstanding. These 4 key assumptions compared to 2013's results equate to a reduction of approximately $0.48 per share. On a FIFO basis, we are guiding to an EPS range of $4.15 to $4.30, compressed by $0.26 related to the changes in our CPI, tax rate and outstanding share assumptions. Had we used the same CPI, tax rate and LIFO expense as in 2013, our FIFO EPS guidance for 2014 would have been a range of $4.41 to $4.56 compared to $4.04 this year. This represents an adjusted growth rate of 9% to nearly 13% over 2013 results. However, since several of these key assumptions are so unpredictable, we felt conservative estimates at this time was the most appropriate approach to our guidance. Our expected free cash flow for 2014 should fall within a range of $4.70 to $5.10, assuming we spend $30 million in CapEx and assuming the buildup of inventory levels at year end are similar to this year. I think it is worth mentioning that we generated sufficient excess cash in 2013 to pay out dividends of $7.1 million or $0.61 per share spread over 3 dividend payments, following the accelerated Q1 dividend paid on December 31, 2012. We also repurchased about 7 million of our shares, offsetting all of our 2013 dilutive incentive shares, while continuing to invest in the business. Our financial condition continues to be very healthy. And now, moving onto the fourth quarter results. Sales increased 13.8% in Q4 from $2.2 billion last year to $2.5 billion this year. Cigarette sales increased 11.8%, and our non-cigarette sales increased 18.2%. We had one extra selling day during the fourth quarter compared to the same period last year, representing approximately 2% of our growth. Cigarette sales increased 11.8% for the quarter on a 10% increase in carton sales. This increase was driven primarily by the additional cartons sold by our Carolina division and by market share wins which offset a 4.3% decline in same-store carton sales. More importantly, our non-cigarette categories increased over $123 million or 18.2%, including Carolina's contributions. Excluding Carolina, we still saw 13% growth across multiple non-cigarette categories led by food, which increased 15.3%. Same-store sales grew a healthy 7.3%, and market share wins contributed to the acceleration and the growth rates of our non-cigarette sales. We believe this success is being driven by our core strategies, Fresh, VCI and FMI. Gross profit increased $21.4 million to $143.3 million, an increase of 17.6% for the fourth quarter of 2013. Remaining gross profit increased $19.2 million or 16% to $139.1 million. Gross profit margins for the quarter were up 18 basis points, and remaining gross profit margins, which excludes LIFO and cigarette holding gains, increased 11 basis points. Excluding the compressing effect of Carolina and Turkey Hill, which we started servicing during the second quarter, remaining gross profits were up 23 basis points. Cigarette remaining gross profit increased 5.1% or approximately $1.9 million, benefiting from our new Carolina division and new customers gained during 2013. Non-cigarette remaining gross profit increased 20.8% or $17.2 million for Q4 2013. About 1/3 of this growth came from our Carolina division, with the remainder driven largely by our focus on selling higher-margin products to our existing and new customers. In total, our non-cigarette margins as a percentage of sales increased 27 basis points, all in. Diverting in promotional activity during the fourth quarter assisted in our -- in driving 16 basis point improvements in our candy and snack categories, and our e-cigarette sales growth of 117% bolstered general merchandise margins. Moving on, operating expenses were $119.5 million in the fourth quarter this year compared to $105.6 million for the same period last year, a 13.2% increase, which supported our sales growth, specifically our non-cigarette categories, which increased 18.2%. Almost half of the increase in operating expenses was generated by our new Carolina division. As a percent of sales, operating expenses decreased 2 basis points. Warehouse and delivery expenses increased $12.5 million or approximately 19.4% to $77.2 million during the fourth quarter, including one extra work day. Excluding our newest division, warehouse and delivery expenses increased 16 basis points as a percentage of sales, 4 basis points of which were driven by higher workers' compensation cost. On the surface, it appears we didn't leverage warehouse and delivery. However, as we sell more of the non-cigarette categories, 2 things are happening: first, cubic feet are increasing 13.3% during the quarter, meaning more product is being handled in the warehouse; and second, the non-cigarette products we are shipping have lower selling price points than cigarettes, which puts upward pressure on the operating expenses as a percent of sales. Our cost per cubic foot of products sold actually decreased during the quarter on a comparative basis, and the impact of selling more non-cigarettes than the higher-priced cigarette categories increased warehouse and delivery as a percentage of sales by approximately 12 basis points. SG&A grew only $1.3 million or 3.2% during the fourth quarter, and as a percentage of sales, decreased 17 basis points. Lower stock comp resulting from canceled performance shares, the pension curtailment gain and lower legal expenses this quarter versus last year represented approximately 75% of this improvement. Moving further down the income statement, our effective tax rate for the quarter was 35.3% versus 38.2% for the fourth quarter in 2012. For the year, our effective tax rate was 37% compared to 38.8% last year. The decrease for the year was driven primarily by a higher portion of our earnings being generated in states with lower tax rates and favorable adjustments to prior years' estimates. We are also seeing some weakening in the Canadian dollar, which reduced year-to-date EPS by approximately $0.04 a share and reduced Canada's contribution to sales by about $35 million for the year. Moving to cash flows. Cash generated from operations before working capital changes was $88.5 million for 2013 compared to $80.6 million last year, a 10% increase. Changes in working capital, which measures 2 single points in time, resulted in a use of cash in 2013 of $29 million compared to a use of $9 million in 2012. The largest contributor to this increase was cash used for the purpose of buying inventory and related prepayments for inventory. Free cash flow, which we measure as adjusted EBITDA, plus or minus changes in working capital, less CapEx, cash taxes and cash interest, was slightly over $52 million for 2013. However, at the end of the year, we did have a temporary spike in the use of cash for inventory, which was about $7 million more this year compared to the end of 2012. All in all, our free cash flow is at the mid-range of our expectations if you add back the $7 million in short-term inventory investment. For 2014, we expect free cash flow to be between $55 million and $60 million, depending, of course, on any unusual year-end activity. As many of you know, our return on net assets standard is 20%, which means we focus on meeting or approaching that standard when making our investment decisions. The net assets we monitor include inventory, receivables and fixed assets, less accounts payables, tobacco payables and accrued liabilities. All major components to our working capital management and monitored on a daily basis. For 2013, our RONA was just above 18%. We constantly evaluate our options when investing our capital. However, to be clear, we may, from time to time, invest at slightly lower returns if an investment position us for future growth or contributes positively to free cash flow. Our weighted average cost of capital is roughly 9% to 10%. So depending on the risk premium assigned to a particular project, we feel good about making investments that exceed that minimum threshold that allow us to strive for our 20% standard. Average debt for the year was $35.3 million compared to $26.3 million in 2012. Average internment working capital swings were approximately $49 million for the year, with our peak debt position at about $112 million late in May when we started buying inventory in anticipation of a cigarette price increase which occurred in June. Our current ratio continues to be strong at 2:1, and our average monthly cash conversion cycle was approximately 13.8 days in 2013 compared to 14.3 days last year. We include accounts payable and tobacco taxes payable in our cash conversion cycle due to the significant role both play in our working capital management. Our capital allocation decisions support our key strategies and focus on ensuring we have sufficient capital to fund acquisitions, CapEx, opportunistic inventory buys, dividends and share repurchases. Last year, we purchased J.T. Davenport in December, and to date, have paid $37.9 million, including the post-closing adjustments paid this year. We have approximately $3 million still held back for various indemnifications and expect this amount to be settled over the next 3 years. In 2013, we incurred approximately $1.6 million of integration costs to bring the Carolina division onto our system and also spent another $1.2 million for expansion activities related to on-boarding new, large customers and prospective market share gains. For CapEx, we spent $18 million in 2013, less than we anticipated, due primarily to the delay of certain projects as we were busy on-boarding new business and other delays in the order or payment cycles for certain equipment. Over 5 million of our 2013 planned projects are carrying over into 2014. We expect to spend approximately $30 million during this year, including carryover amounts. To summarize, we had a very strong quarter stemming from strong sales and margin growth in our non-cigarette categories, contributing to solid earnings for the year. We are cautiously optimistic as we move into 2014, but remind our investors that Q1 is historically the softest quarter of the year. That being said, we are pleased with our growth trajectory and continue to generate substantial free cash flow and are carrying very modest debt. We look forward to 2014 with optimism, knowing that our core strategies continue to help build a sustainable, competitive advantage. And with that, I would like to thank all of our employees, our vendors, our customers and you, our shareholders, for your continued support. Operator, you can now open the line for questions.
Operator: [Operator Instructions] And we have John Lawrence of Stephens on line with a question.
John R. Lawrence - Stephens Inc., Research Division: Tom, would you start off just a little bit and talk a little bit about, I guess, a couple of things. When you look at the growth of all the new business and the new industry rollout, can you talk a little bit about that, and maybe the costs associated with that? Anything else you can put around that and how -- what's the scope of the extension of that sort of test or whatever?
Thomas B. Perkins: Yes. So we've been in operation for approximately 3 months with the test of stores on the alternative retailer, and we are in conversations today to expand that. And based on where we are in the discussions, I can't go into any more details, but the cost has been minimal for that, to begin with. So -- but I anticipate as we continue that rollout, that will be -- that will grow. I think as for the other business, I think the business we've added, I think, again, it shows that our strategies and how we go to market and what we provide to our customers is resonating. And I think it just goes to show with not only large chains like at Turkey Hill or Esso, but also with our small-pocket chains at the -- in our different regions of the country that are looking for what we bring to the table and offer them to help them grow their businesses profitably.
John R. Lawrence - Stephens Inc., Research Division: Right. And secondly, the new tools with the new sort of the team laid out, I assume, is there anything measured strategically different or are we just sort of putting, we gather, and naming that? What's really different on how they're going to go to market everyday?
Thomas B. Perkins: We definitely, when we started the FMI process, our strategy about 3.5 years ago, it was really focused on data, coupled with demographics, to help build a marketing and category management plan for individual retailers. But I think what we've noticed, and I think you see it in the press all the time, is the power of data, right? And so, what this group has done has been able to harness all this data we collect, which probably is the most extensive in North America for convenience stores, and then be able to provide that in an easy-to-use format for our salespeople to go into a customer and help them say, "Here's where your sales are, here's where your competitors are and here's what we need to do to help you get up to those levels." Second thing, the CRM is really going to help us, one, with market intelligence; and then two, to really provide a concerted and directed effort on gaining market share and independence throughout our territories. And so, I think both of those are just expansions of the group. And really, it goes back, again, to this data and the power of data and using that to grow our sales profitably.
John R. Lawrence - Stephens Inc., Research Division: And the last question. Stacy, does the guidance at all reflect any type of challenges weather-wise, getting to certain places in January and February?
Stacy Loretz-Congdon: Not specifically, John. I would just say that first quarter, we know, is generally softer, so our plans would reflect some of that softness in the first quarter as we go out. But we didn't adjust it for the weather that we've been seeing in the news.
Operator: [Operator Instructions] And we have no questions at this time.
Milton Gray Draper: That's it? All right. Well, thank you for your participation in our conference call and for your interest in Core-Mark. We are pleased with the results for the year and believe that 2014 will be another terrific year for the company, as we leverage our competitive advantages and continue to grow sales in higher-margin categories. If you have any additional questions, please feel free to call me at (650)589-9445.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.